Operator: Good day, and thank you for standing by. Welcome to the Third Quarter 2025 OGE Energy Corp. Earnings Conference Call. [Operator Instructions] Please be advised today's conference is being recorded. I would now like to hand the conference over to your speaker today, Jason Bailey. Please go ahead.
Jason Bailey: Thank you, Kevin, and good morning, everyone, and welcome to our call. With me today, I have Sean Trauschke, our Chairman, President and CEO; and Chuck Walworth, our CFO. In terms of the call today, we will first hear from Sean, followed by an explanation from Chuck of financial results. And finally, as always, we will answer your questions. I'd like to remind you that this call -- this conference is being webcast, and you may follow along at oge.com. In addition, the conference call and accompanying slides will be archived following the call on that same website. Before we begin the presentation, I'd like to direct your attention to the safe harbor statement regarding forward-looking statements. This is an SEC requirement for financial statements and simply states that we cannot guarantee forward-looking financial results, but this is our best estimate to date. I will now turn the call over to Sean for his opening remarks. Sean?
R. Trauschke: Thank you, Jason. Good morning, everyone, and thank you for joining us today. It's certainly great to be with you. We again delivered strong results in the third quarter, and we remain on track to deliver on our commitments. This morning, we reported consolidated earnings of $1.14 per share, including electric company earnings of $1.20 per share and a loss at the holding company of $0.06. Our solid performance is driven by continued operational excellence, laser-like focus on the customer and constructive regulatory outcomes. As we head into the remaining 2 months of 2025, we remain confident in our plans to deliver in the top half of our earnings guidance range. As you know, on the regulatory front, we have a preapproval request in Oklahoma and expect an order in a few weeks. This will allow us to move forward with building 450 megawatts of natural gas generation, which should be operational by 2029. As a reminder, we have approximately 550 megawatts of combustion turbines under construction now, which will be operational next year on time and on budget. When Horseshoe Lake Units 13 and 14 come into service in 2029, we will have added approximately 2,000 megawatts over an 11-year period, and we anticipate more to come. When filing the preapproval case, we indicated that this was the first step of many. In the filing, we updated our integrated resource plan, which showed we are still solving for our customers' future generation needs. We are now negotiating with existing bidders from the remaining from the last RFP, and we anticipate issuing more RFPs in future filings to address our customers' needs. We notified Oklahoma customers this week that they will see a decrease in their monthly bill with a reduction in the fuel cost adjustment beginning November 1. The average residential customer bill will be approximately $6.75 lower per month. Our customers benefit from OG&E having some of the lowest rates in the nation. We understand the competitive advantage our low rates offer, and it's one reason our demand has grown so consistently year-over-year. We do everything we can to ensure our rates remain low in the future so that we can sustain the growth of the company and the communities we serve. While the electric power industry is entering an exciting new era, OG&E is uniquely positioned at the forefront. We've been experiencing load growth that far surpasses national trends and data center load will certainly be incremental to our already strong load growth. At the heart of that growth for OG&E is affordability. It's not a new concept to us. It's key to our community success and central to our planning as we move ahead. Over the past decade, we've delivered a 6% EPS CAGR, which is great news for our investors. Equally important for our customers, it's worth highlighting that our nonfuel rates have increased at less than half the rate of inflation during this time. In a period when the cost of living continues to rise, we focused on what we can control, helping our customers and communities manage costs while supporting growth and reliability. As we build on our strong growth and performance, we experienced growing interest in our service area from data centers. Negotiations and conversations are progressing, and we hope to have something to share in the near future. Turning to economic development. We continue to see diversified business growth, including commercial and industrial. And just a couple of weeks ago, we celebrated the grand opening of a major expansion project for plastics manufacturer, which added 4.5 megawatts of load and created hundreds of jobs in Shawnee, Oklahoma. Our economies remain strong with unemployment in Oklahoma and Arkansas continuing to outpace the national average. For the 48th straight month, Oklahoma City unemployment rate is below 4% and Oklahoma's overall job growth is driven by gains in education, health care and construction. The Council for Community and Economic Research ranked Oklahoma City as the most affordable among large cities in the U.S., a competitive advantage for continued growth. And our rates are a factor in keeping Oklahoma and Arkansas consistently ranked high for affordability. As I close, I want to emphasize that the business is doing very well. We've just completed another strong quarter, and I'm excited about the future. We remain confident in our ability to deliver on our commitments while continuing to grow the business. And as I mentioned, we have many positive updates to share in the quarters ahead. Thank you. I'll now turn the call over to Chuck. Chuck?
Charles Walworth: Thank you, Sean, and thank you, Jason, and good morning, everyone. We're 3 quarters through the year, and our steady execution positions us to deliver results in the top half of our 2025 earnings guidance range. It's our execution that will lead us to continued long-term success. I'm excited to review our financial performance with you today. Starting on Slide 5. For the third quarter, consolidated net income was $231 million or $1.14 per diluted share compared to $219 million or $1.09 per share last year. In our core business, the electric company achieved net income of $243 million or $1.20 per diluted share compared to $225 million or $1.20 per share last year. The main driver of the year-over-year increase in net income was increased recovery of capital investments. Milder weather this summer compared to last year and higher O&M and income taxes partially offset the increase. The holding company reported a loss of $12 million or $0.06 per diluted share compared to a loss of $6 million or $0.03 per share last year. The change was primarily attributed to higher income -- interest expense, partially offset by an income tax benefit. Let's turn our attention to our 2025 financial plan update on Slide 6. Year-over-year customer growth continued its healthy multiyear pace and was just under 1% in the third quarter. Our weather-normalized load growth was historically strong once again at 6.5% through the third quarter compared to the same period last year. We expect total retail normalized load growth of approximately 7.5% in 2025. Our execution keeps us firmly on plan to deliver on our consolidated earnings commitment. We continue to expect to be in the top half of 2025's earnings guidance range. Sean discussed how our local economies and communities are strong and our intentional efforts around economic and business development provide important support for growth. In each quarterly update, we highlight how our sustainable business model works by attracting new customers to our service area with low rates and reliable electric service, helping our communities to grow and prosper. We've updated our capital plan to include the Fort Smith to Muskogee transmission line, which will address reliability and capacity issues in the Fort Smith, Arkansas area. This $250 million project is planned to go into service in 3 phases in 2027, '28 and '29. This higher voltage line will be primarily recovered through our FERC formula rate, and we have received approval to utilize CWIP recovery during construction of the project. The updated capital plan is included in the appendix. Our financial position remains strong. Our balance sheet is one of the strongest in the industry and is an important competitive advantage, one we are committed to maintaining. We have requested CWIP recovery on Horseshoe Lake Units 13 and 14. The use of CWIP has important dual customer benefits; first, by reducing the long-term cost to customers; and second, by supporting the balance sheet during the construction phase of projects. As I close, let's review our guiding financial objectives. As we grow the company, we will maintain our competitive low rate advantage by focusing on our cost structure, minimize the time between investments and the return and recovery and grow the company by maintaining a highly credible total return proposition for our shareholders. We've made great progress so far this year. Our steady execution keeps us on track to deliver in the top half of this year's guidance range. Our load growth remains historically strong. We've reached a settlement with a number of parties in the Oklahoma preapproval request. If approved, we will move our planned Oklahoma rate review from the end of this year to the second half of next year, and we will continue to assess the timing of the next rate review in Arkansas. We've updated our capital plan for the Fort Smith to Muskogee transmission line. Additional updates to our capital and financing plans will follow a determination in the preapproval case. And finally, our results keep us as confident as ever in our ability to achieve a consolidated earnings growth rate of 5% to 7% based on the midpoint of our 2025 guidance. The strength of the current year's plan allows us to focus on the future, address our customers' expectations of a safe and reliable system and to deliver power at some of the lowest rates in the nation. As always, the foundation of our success is grounded on the dedication of our employees and their ability to get the job done. That concludes our prepared remarks, and we'll now open the line for your questions.
Operator: [Operator Instructions] Our first question comes from Shahriar Pourreza with Wells Fargo.
Constantine Lednev: It's actually Constantine here for Shar. That's great to be back. Maybe starting off on the CapEx needs. We have the $250 million update today. And as we're building to the fourth quarter update, kind of with the pre-approval settlement out there and another 800 megawatts in the IRP, how quickly do you think those elements start rolling into plan? And is there kind of any acceleration in the RFP process that you're seeing kind of to address some of those needs?
R. Trauschke: Yes. Thanks, Constantine. This is Sean. I like that characterization there of rolling. I think that's how we're thinking about it. We're anticipating this approval for -- under the preapproval in a couple of weeks here, and then we're going to layer that in there. And then we're probably going to make some additional filings, as I mentioned in my remarks, with -- coming out of the last RFP. We'll make that filing. When we get approval for that, we'll layer that in there. We'll probably commence a new RFP to kind of continue down that road. And so I think your characterization of rolling, I think you should just consider it a continuous flow of updates.
Constantine Lednev: Okay. So versus kind of the fourth quarter that we've typically seen, we should expect more periodic updates, right?
R. Trauschke: Yes. You'll see -- I mean, you'll see the normal update in the fourth quarter that should improve the approval of the last filing and it include the customary updates we always do. And then in addition to that, these generation adds, we'll add those as we receive approval.
Constantine Lednev: Okay. Perfect. And in terms of the new regulatory constructs kind of that are in place now, how significant is the impact on that ROE lag, if you can quantify it at all? And do you anticipate including some of these benefits in '26 planning assumptions?
Charles Walworth: Yes. Constantine, it's -- I think we've always had a really good track record on minimizing lag on earned ROE. So this is obviously just accretive to that. You can see some of those impacts as disclosed in our 10-Q today in terms of some of those benefits, and we'll definitely lay that out whenever we come up with guidance for next year.
Constantine Lednev: And just the last one related to kind of that '26 update, kind of given the ramp schedules for that C&I load, do you see the '26 load growth being higher than your planning assumptions as you roll into that year?
Charles Walworth: We'll bring you a full update in February. But clearly, we don't see any changes in the fundamentals that are driving the results that we see in our service area. But we'll address that fully in our February call.
Constantine Lednev: Right, okay. And year-to-date has been healthy, so...
Operator: Next question comes from Julien Dumoulin-Smith with Jefferies.
Brian Russo: It's Brian Russo, on for Julien. Just it's nice to see you add the SPP project to the CapEx. Could you maybe talk about the upcoming 2025 SPP ITP plan? I think there are expectations that it could be nearly double the 2024 plan. And I was just curious, it seems as if Oklahoma is one of the faster-growing states in SPP. So I'm just wondering what your competitive position is there to pursue more projects like the one you just added to CapEx.
Charles Walworth: Yes. Brian, this is Chuck. It's obviously something that we're very closely involved with our team at the SVP in that process. Yes, you're right. I think that they're looking at a pretty robust plan, but there's still a couple of milestones, a couple of SPP Board meetings that, that's got to go through before we really have something that we can give you a firm idea as to what the opportunity set really looks like. So it's an exciting area, I think, but more to come.
Brian Russo: Okay. Great. And then I think as part of the pre-approval settlement filing, you plan to file a large load tariff with your next rate case. I was just curious, I assume that the contract negotiations are still going on with the Google Stillwater project.
R. Trauschke: Yes. I think that was the requirement in the settlement to file that large load tariff. But to the extent that we've finalized an agreement before then, we'll file it then.
Brian Russo: Okay. Great. And then lastly, is the new load growth outlook of 7.5% for 2025, is that now at the low end of your prior range? Just wondering what's driving that.
Charles Walworth: Yes. So you're right. But as we've said kind of all along, some of these loads that we have are a little chunky and the timing can kind of -- it's really hard to nail it down, whether it's the start of this quarter, the beginning of next quarter. And so we've got a little bit of timing going on there. We have one customer in particular that's coming in about a quarter later than anticipated. So just really mainly a timing issue.
Operator: Our next question comes from Stephen D’Ambrisi with RBC Capital Markets. My apologies -- I apologize.
Stephen D’Ambrisi: That's all good. That's all good.
R. Trauschke: We're going to enjoy that one for a while.
Stephen D’Ambrisi: I know you will, Sean. I know -- it couldn't happen on a better call. I'm not going to lie...
Charles Walworth: Welcome back. Good to hear from you.
Stephen D’Ambrisi: Good to hear from you too. Appreciate you guys let me on. Yes. So just quickly, a follow-up on how you guys are going to meet the 850-megawatt shortfall or capacity need that you have by 2030. Just when I'm thinking about where -- I think you have some of the RFP results still outstanding, but they feel like they might be a little stale now at this point. And I know you're ongoing -- you have discussions ongoing. But do you think it's likely that you can get material capacity out of the prior RFPs? Or do we have to run new RFPs to really make up most of that capacity deficit? And then just like how long does that take to run a new RFP? Like what's the timing around announcements there?
R. Trauschke: Yes. So great question. And so the answer to your first question, yes, we do believe we have some capacity opportunities in the current RFP. And yes, we will file a new RFP to kind of meet this need. And this -- that 800 megawatts you referenced there, that largely depends on the ramp rate of "this customer X" that we disclosed in the IRP. And so that's kind of a give or take number 2 in terms of how quickly or how slowly, you get to that number in 2030. But nevertheless, I think it's an answer of yes to both those questions. Yes, we're going to get some out of that last RFP. And yes, we're going to file a new RFP. And I would expect that the second RFP to move along at a quicker pace. We've kind of got it nailed down now, and I think everybody understands the rules.
Stephen D’Ambrisi: Okay. That makes a lot of sense to me. And then just on the -- you covered the sales growth well. I kind of figured that it was timing. But just like -- just looking at where you're at year-to-date, I think sales growth is 6.5% year-to-date and you're still guiding to 7.5%. So I mean that implies a significant acceleration right into the fourth quarter. And then just, I guess, how does that set us up for sales growth into 2026, right? Because effectively, you're delaying customer. So all things equal, it should drive higher sales growth year-over-year into the back -- into next year?
Charles Walworth: Yes, Steve, I think your points are right. I mean we've seen this chunky growth before and how that can impact any particular quarter on an outsized manner. And obviously, you can kind of do your own math as to how that plays in the future years. But again, we'll be prepared to thoroughly discuss that with you at the next call.
Stephen D’Ambrisi: Okay. That's all I had. I hope you guys get a kick out of that. I'm glad that it's going to be kept forever on the Internet. So love that...
Operator: [Operator Instructions] Our next question comes from Chris Hark with Mizuho.
Chris Hark: I just had a question regarding the dividend growth rate. Should we be expecting that to be in line with the EPS CAGR?
Charles Walworth: Yes, Chris. So we've been very intentional about the dividend growth rate really in relation to the opportunity set that we've had for investments. So the past several years, we have kind of bifurcated the rates of those 2 with the dividend growing a little lower, and we're basically targeting growing into a 65% to 70% payout ratio. And so we're well on our way to getting to that target. And once we get to that target, we'll kind of reassess where we are versus, again, the opportunities that we have out there and make that capital allocation decision at that time.
Chris Hark: Okay. Awesome. And then next question I had was really just around the cadence of rate filings. So if you push that back to second half of '26, should we be expecting that kind of similar time of year for the next 2 years through the 2-year period off the forecast period?
Charles Walworth: Yes. I guess I would say that really nothing has changed. Our philosophy maintains to be the same as it was. But clearly, this was part of the give and take of the negotiations for settlement agreement. So yes, we -- if approved, we would shift that forward per the terms of the settlement agreement. But I think going forward from that, we would still be operating under the same philosophy that we have been.
Operator: Our next question comes from Aditya Gandhi with Wolfe Research.
Aditya Gandhi: Can You hear me? Just maybe starting with the CapEx increase to your plan, the $250 million. Chuck, you've been clear that any capital increases will have an equity component to it and recognize that you'll sort of communicate your financing plans with the Q4 update. But are you willing to share sort of a rough rule of thumb for this $250 million? Should we assume it's 50-50, lesser than that? Just any color there?
Charles Walworth: Yes. Aditya, I think the plan remains the same. We thought it was only right to go ahead and roll this project in now since it's signed up. But with the -- really the biggest of the increase still pending out there, we're going to hold and get approval on that, and then we'll give you that clarity that we've been describing all along.
Aditya Gandhi: Got it. And then maybe just one on the data center front. Sean, you mentioned in your prepared remarks that you sort of hope to share updates soon or sort of in the coming quarters. Can you maybe give us more color on sort of what stage of discussions you're in? Is it reasonable to say that the discussions are at advanced stages now? And then can you just remind us how any potential announcement you make on the data center front would interplay with a special contract or data center tariff filing at the commission? And then how you sort of serve the capacity needs associated with any potential data center customer?
R. Trauschke: Yes. There's a lot in there. I think it's fair to characterize that we are in very serious negotiations. And I think my prepared remarks were optimistic that we would be in a position to announce something soon. In terms of the filing, yes, there would be some sort of announcement, and we would certainly follow that up with some sort of filing with the commission for approval of all that. So I think that's normal and customary. In terms of your question about the capacity, how we'll fill that need. In our last IRP, we did provision for that and been thinking about that. Again, a lot of that goes back to kind of how the counterparty contemplates a ramp rate and what they're thinking in terms of that, in terms of meeting that capacity obligation, but I feel confident we're going to be able to meet that.
Operator: [Operator Instructions] Our next question comes from Nicholas Campanella with Barclays.
Nicholas Campanella: I just have one question. If you roll in the pre-approval generation and data center and the possible data center deal, how would that really increase your long-term EPS CAGR? Or are you just more confident in the 5% to 7% range?
Charles Walworth: Yes, I think all along, we've been looking at our 5% to 7% is in solid shape regardless of this deal or any other deal. And our philosophy really is that we take a good look at where we are every year before we put guidance out. And kind of like this year, we might choose to alter the trend line from the previous year, so to speak, and address it in that manner. So I think that's really more indicative of the philosophy that we have and the way that we've treated it in the past. So hopefully, that gives you a little color as to how we're thinking about it.
Operator: And I'm not showing any further questions at this time. I'd like to turn the call back over to Sean for any further remarks.
R. Trauschke: Okay. Thank you, Kevin. Well, thank you all for joining us today. I hope everyone has a great day and look forward to seeing everyone soon.
Jason Bailey: Thank you, ladies and gentlemen. This does conclude today's presentation. You may now disconnect and have a wonderful day.